Operator: Good morning, everyone, and thank you for joining us on today's ICE Fourth Quarter 2025 Earnings Conference Call and Webcast. My name is Drew, and I'll be the operator on the call today. After the prepared remarks, we will have a Q&A session. And with that, I'll hand over to Steve Egerton, VP of Investor Relations to begin. Please go ahead when you're ready. Good morning.
Steve Egerton: ICE's Fourth Quarter 2025 Earnings Release and Presentation can be found in the Investors section of ice.com. These items will be archived, and our call will be available for replay. Today's call may contain forward-looking statements. These statements, which we undertake no obligation to update, represent our current judgment and are subject to risks, assumptions, and uncertainties. For a description of the risks that could cause our results to differ materially from those described in forward-looking statements, please refer to our 2025 Form 10-Ks and other filings with the SEC. In our earnings supplement, we refer to certain non-GAAP measures. We believe our non-GAAP measures are more reflective of our cash operations and core business performance. You will find a reconciliation to the equivalent GAAP term in the earnings materials. When used on this call, net revenue refers to revenue net of transaction-based expenses. Adjusted earnings refer to adjusted diluted earnings per share. Throughout this presentation, unless otherwise indicated, references to revenue growth are on a constant currency basis. Please see the explanatory notes on the second page of the earnings supplement for additional details regarding the definition of certain items. With us on the call today are Jeffrey Sprecher, Chair and CEO, Warren Gardiner, Chief Financial Officer, Benjamin Jackson, President, Lynn Martin, President of the NYSE, and Christopher Edmonds, President of Fixed Income and Data Services. I'll now turn over the call to Warren. Thanks, Steve.
Warren Gardiner: Welcome to the call. I'm glad to have you leading investor relations for us going forward. Good morning, everyone, and thank you for joining us today. I'll begin on Slide four with our exceptional full-year 2025 results, which demonstrate the strength of our diversified business model and the consistency of our execution. 2025 was a landmark year for ICE. We delivered record adjusted earnings per share of $6.95, a 14% increase year over year, marking the best performance in our company's history. This achievement reflects both the resilience of our franchise and our team's relentless focus on operational excellence. Full-year net revenues reached a record $9.9 billion, up 6% year over year, with balanced growth across our platform, including 5% growth in recurring revenues, providing durability and visibility, and 8% growth in transaction revenues, which demonstrate robust customer engagement and growing demand for risk management tools. Our disciplined approach to expense management continues to drive operating adjusted operating expenses totaled $3.9 billion, reflecting our commitment to cost discipline while also investing strategically. I'm particularly pleased to report that annualized expense synergies from our 2023 Black Knight acquisition exited the year at an annualized rate of approximately $230 million, exceeding the updated $200 million target that we set early last year. Based on this momentum, we now expect total expense synergies to reach $275 million by 2028, a $75 million increase, or nearly 40% above our initial commitment when we announced the transaction back in 2022. This outperformance underscores our integration capabilities and our proven ability to identify incremental value creation opportunities. These results drove record adjusted operating income of $6 billion, up 9% year over year, demonstrating the quality and scalability of our business model. Turning to capital allocation, our record operating performance generated $4.2 billion in adjusted free cash flow, which we deployed strategically to enhance shareholder value. We repurchased $1.3 billion of stock, increased our dividend by 6%, and reduced our leverage ratio from 3.3 at year-end 2024 to three times as we closed 2025, all while funding strategic investments across our business. This balanced approach reflects our confidence in both our core operations and our ability to capitalize on future growth opportunities. Moving to Slide five, let me walk you through our strong fourth-quarter performance, which provides excellent momentum as we enter 2026. Fourth-quarter adjusted earnings per share totaled $1.71, up 13% versus the prior year. Fourth-quarter net revenues of $2.5 billion increased 7% year over year, with transaction revenues growing 8% and recurring revenues advancing 6%. Fourth-quarter adjusted operating expenses totaled $1.01 billion, coming at the midpoint of our guidance range and reflecting our continued focus on balancing cost discipline with investments in future profitable growth. Now let's turn to Slide six for our Exchange segment, which delivered outstanding results. Our Exchange business achieved record fourth-quarter net revenues of $1.4 billion, up 9% year over year. Notably, this compounds on 9% growth in 2024 and 14% growth in 2023, demonstrating sustained business momentum. Transaction revenues grew 8%, led by our global oil complex, which increased 12% year over year. Our natural gas and environmental products, which represent nearly half of our energy revenues, grew 10% in the quarter and 15% for the full year, reflecting strong structural demand for energy risk management and the ongoing energy evolution.
Warren Gardiner: Importantly, these positive trends accelerated into January. We saw record monthly volumes of 23% year over year, including a record month for energy ABB. Further supporting momentum into February is robust open interest, growing 19%, including 7% growth in global energy and 48% growth in our interest rate complex, reflecting heightened volatility, increased hedging demand, and the mission-critical nature of our markets. Our recurring revenue streams, comprised of our exchange data services and our NYSE listings franchise, reached a record $391 million, up 11% year over year. Growth was driven by a 16% expansion in exchange data and connectivity services. After adjusting for a one-time true-up in Q4 2024, Exchange Data Services grew 11% in the quarter as customers increasingly rely on our comprehensive market data and technology. Our NYSE listings business continues to attract the highest quality companies from around the globe. While only about 40% of global IPOs met our rigorous listing standards in 2025, the NYSE facilitated $25 billion in new IPO capital formation, welcoming 71 new operating companies, including seven of the top 10 IPOs. In addition, our retention rate remained above 99%, while we also welcomed several transfers, including Virtu, Etsy, and the largest transfer in NYSE history, AstraZeneca, who officially transferred to the NYSE this week. This performance reflects the enduring value proposition that combines the NYSE brand with our leading-edge technology. Looking to 2026, we expect Exchange segment recurring revenues to grow in the mid-single-digit range, driven by continued growth in Exchange Data Services and expansion in our listings franchise. Turning to Slide seven, our fixed income data and services segment delivered another quarter of strong execution. Fourth-quarter revenues totaled $608 million, including $101 million in transaction revenues. Within ICE bonds, continued growth in municipal bond revenue was offset by lower retail corporate and treasury activity, while strong CDS clearing results were offset by lower member interest income following the FOMC's rate reductions in 2025. Importantly, recurring revenues reached a record $507 million, growing 7% year over year. Our fixed income data and analytics business achieved record revenues of $318 million, up 5%, driven by our pricing and reference data offering, which posted its best quarter for net new business since 2020. Our index business ended the year with a record $794 billion in ETF AUM tracking ICE indices, up over 20% versus last year. This growth reflects the increasing adoption of our data and indices as well as the quality of our benchmark products. Data and network technology reached record revenues, increasing by 10% in the fourth quarter, reflecting strong demand for our ICE global network, consolidated feeds, and desktop solutions. As customers integrate artificial intelligence into their workflows and require ever-increasing volumes of high-quality data, we are uniquely positioned as a critical technology provider. For 2026, we anticipate fixed income and data services recurring revenue growth in the mid-single-digit range, with growth expected to trend towards the high end of that range, underpinned by another year of high single-digit growth in our Data and Network Technology business. Please turn to Slide eight for our Mortgage Technology segment results. Fourth-quarter Mortgage Technology revenues totaled $532 million, up 5% year over year. On a pro forma basis, including Black Knight, this represents our strongest quarterly performance since Q3 2022. Recurring revenues totaled $391 million and were in line with our expectations. As we discussed in prior quarters, some customer renewals came in at lower minimums. Importantly, these renewals are paired with higher per transaction pricing, which becomes increasingly beneficial as origination volumes normalize. The impact from lower minimums was largely offset by strong implementations and product expansions, particularly within origination technology. Transaction revenues totaled $141 million, up an impressive 20% year over year. This was driven by a significant increase in transaction revenues from Encompass closed loans, as customers increasingly exceed their minimums in an improving origination environment, along with double-digit growth in MERS registrations, which was supported by strong fourth-quarter refinancing activity. Turning to 2026 guidance, we expect total mortgage technology revenues to grow in the low to mid-single-digit range. The high end of our range assumes the number of loans originated across the industry grows in the low teens, while the low end assumes flat to modest growth. Importantly, at both ends of this range, we anticipate continued growth in recurring revenues in 2026. Several factors underpin this confidence. First, revenue synergies have nearly doubled from $55 million at year-end 2024 to approximately $100 million at year-end 2025, with further runway ahead. Second, we have substantially reworked through the 2020 to 2022 vintage contract renewals, reducing but not yet eliminating headwinds from Encompass minimum adjustments. And third, we continue to see strong product adoption and implementation momentum. These positives will be partially offset by previously client attrition related to certain M&A activity in 2025. Please return to Slide nine, where I'll provide additional context on our 2026 guidance and outlook.
Warren Gardiner: We expect 2026 adjusted operating expenses to grow between 4-5%, or between $4.075 billion and $4.14 billion. This includes approximately $25 million in accelerated stock-based compensation related to adjustments to our compensation plan. As a result, we expect less incremental stock expense in both 2027 and 2028. Additionally, we currently expect depreciation in the euro and pound to add roughly $15 million to $20 million, which is more than offset by incremental revenue. Excluding these items, expense growth is expected to be in the 3% to 4% range, driven primarily by annual merit increases, reflecting our commitment to rewarding employees for their exceptional contributions and strategic technology investments across our platform. Among several other initiatives, these investments include expanding our data center footprint to meet growing customer demand and developing new artificial intelligence tools that will drive future productivity and innovation. Regarding capital expenditures, we expect 2026 investments to be between $740 million and $790 million. This includes installing AI infrastructure, such as GPUs, storage, and network equipment designed to handle AI and data-intensive workloads. Importantly, CapEx also includes elevated investment in real estate of approximately $250 million as we build revenue-generating data center capacity and new office space in Jacksonville, Dallas, Washington DC, and India. These are all strategic growth-enabling investments that position us for long-term success.
Warren Gardiner: In closing, 2025 was an exceptional year for ICE. We delivered growth across all key metrics: revenues, adjusted operating income, free cash flow, and adjusted earnings per share. We exceeded our synergy targets, invested strategically in our infrastructure and technology, and returned significant capital to shareholders while also strengthening our balance sheet. As we begin 2026, we have tremendous momentum. Our diversified business model, market-leading positions, recurring revenue base, and operational discipline give us confidence in our ability to deliver another year of profitable growth and shareholder value creation. I'll be happy to address your questions during the Q&A, but for now, I'll turn it over to Ben.
Benjamin Jackson: Thank you, Warren. Thank you all for joining us this morning. Please turn to Slide 10. Across ICE's derivatives platform, we've built technology that scales with our customers' needs, combining deep liquidity, global participation, and transparent price discovery into a single connected marketplace. 2025 was another record year for our global derivatives markets, with 2.3 billion futures and options contracts traded, surpassing the prior record set in 2024 by 13% and record average daily volumes of 9.3 million contracts, up 14% year over year. This momentum translated into our thirteenth consecutive year of record futures revenue in 2025, which grew 11% for the year and 8% in the fourth quarter. Performance was broad-based across our multi-asset and geographically diverse platform, reflecting the depth of liquidity and participation on our platform. Building on that breadth, our energy complex continued to lead in 2025, with strength across oil and gas. Volumes increased year over year in Brent, up 11%, WTI, up 9%, and gas oil up 8%, each setting full-year records in 2025. While our global natural gas markets advanced with record TTF in Japan Korean marker or JKM volumes up 21% and 36% respectively. This strength has continued into 2026 as January marked the strongest month for trading activity in our history, and trading in energy achieved record average daily volume, up 27% year over year. At the core of this strength in our energy business is our oil complex, which gives customers precise tools to manage exposure across grades, regional flows, and the spread relationships between them. In crude oil, ICE operates the most liquid futures benchmarks across every major producing region in the world.
Benjamin Jackson: From west to east, that includes the only Canadian crude futures market ICE WTI at Cushing, the only physically deliverable Midland WTI contract in Houston, which itself is deliverable into the Brent benchmark, and our two leading Middle Eastern benchmarks, ICE Mervin and ICE Dubai. Surrounding these benchmarks is a deep set of differential contracts allowing market participants to price dislocations across grades and locations globally. In an environment shaped by Iran-related tensions, uncertainty around Venezuelan production, ongoing Russian sanctions, and broader geopolitical flashpoints, this global network has proven essential for managing supply risk, arbitrage flows, and price volatility. Second, in refined products, ICE provides an equally integrated global complex. US heating oil and gasoline link directly into ICE gas oil, the most liquid middle distillate futures contract in the world, with further connections into Asia and The Middle East. These markets spanning diesel, jet fuel, gasoline, and petrochemicals are tied back to crude through our refining margin and crack spread futures, enabling refiners to lock in margins amid volatile feedstock and product demand.
Benjamin Jackson: Third, as the energy mix evolves, ICE continues to lead in renewable fuels and renewable credit markets. As regulatory frameworks broaden and renewable adoption accelerates, our ability to offer a unified risk management ecosystem across traditional and renewable energy remains a powerful structural growth driver. Turning to natural gas, our blueprint has built a benchmark-led complex where TTF's deep liquidity and price transparency attract a diverse mix of physical and financial participants, providing reliable price signals and serving as the leading benchmark for global gas pricing that influences LNG contracts and hedging strategies. Against that backdrop, December was the strongest month of the quarter for TTF, with ADV up 30% and NOI up 18% year over year. That strength has carried into 2026 with elevated January participation evident as OI was up 16% year over year and average daily volumes doubled versus 2024.
Benjamin Jackson: Finally, with global energy demand rising, driven in part by the rapid expansion of data centers, electrification, and AI infrastructure, capital-efficient risk management is critical. Thus, we delivered another significant milestone last year through the rollout of our ICE Risk Model 2, margin methodology across more than 1,000 energy contracts, extending a VAR-based portfolio approach that captures relationships across oil, natural gas, power, emissions, and freight. IRM 2 is designed to be resilient against stress events and correlation breakdowns, as well as adjusting for seasonality where appropriate, which in turn allows us to offer customers greater margining benefits when the portfolio is diversified or hedged. As a result, customers have seen collateral efficiencies across hedge portfolios. In combination, these factors—geopolitical complexity, rising demand, and the need for sophisticated risk management—continue to play to the strength around our energy franchise for sustained growth in the years ahead. Beyond commodities, our global interest rate franchise also delivered strong results in 2025 as participants responded to shifting policy paths and cross-market signals. Activity across our rates complex reached record levels in 2025, with ADV up 19% and OI up 54% at the close of the year, reinforcing how customers use a single technology platform to align exposures across assets.
Benjamin Jackson: The output of our markets—high-quality price signals and liquidity—also become inputs to our fixed income and data services segment, the platform's compounding engine where proprietary data, indices, and network connectivity power customer decision-making and automation. Moving now to our fixed income and data services segment on Slide 11. 2025 was a milestone year. Pricing and reference data remains our foundation, and our index franchise continues to scale alongside ETF adoption and customization, driving record index AUM of $794 billion at the end of 2025. We continue to expand our differentiated offering through new data partnerships, including our recent deal with Reddit. Here, we are now offering real-time historical signals and sentiment scores integrated with our datasets to enhance market insights and risk management capabilities, in turn uncovering new investment opportunities for clients. Our fixed income workflows, electronic execution, and clearing set new records in 2025, validating our role in helping clients manage risk. On execution, ICE bonds saw record revenue, with our secondary MBS trading growing well year over year. And in clearing, CDS volumes reached record levels across index, single name, and options. Underpinning this is our ICE global network, which provides secure, low-latency connectivity and data distribution that customers rely on as they modernize their trading workflows. Demand for connectivity and colocation also remains strong as we've more than doubled capacity since 2020 as client demand continues to grow.
Benjamin Jackson: More broadly, the growth of AI continues to be an enabler. Our ICE Aurora platform, paired with our high-quality proprietary data with controlled secure distribution into customer workflows, is where ICE differentiates. We provide fit-for-purpose datasets, delivered securely and integrated directly with customer decisioning tools. In practice, that includes ICE Aurora AI-assisted capture and validation of reference data, enhancements to evaluated pricing, and secure entitlement-based access into valuation and risk regulatory systems. This way, customers can adopt AI with confidence in the quality and permitted use of the data powering their models. Where FIDS turns market data into workflow intelligence, mortgage technology applies those capabilities across the life of a loan.
Benjamin Jackson: Moving to our mortgage business on Slide 12. Mortgage technology is another expression of ICE's core capability, automating complex regulated workflows through high-quality data, secured delivery, and governed automation. In 2025, we continued to execute on reducing inefficiencies across the mortgage workflow. Automating legacy workflows through applying state-of-the-art technology and innovation has been foundational to ICE since inception. The application of AI with our agents that automate multistep manual workflows is driving our engagement with our clients across price mortgage technology. So here, just as in FIDS, AI is an enabler and an accelerator to deliver workflow efficiencies.
Benjamin Jackson: Both Encompass and MSP, as core systems of record for lending and servicing of mortgages today, support modern access and data delivery options that are plugged into the AI layer. These systems of record understand the data ontology and orchestrate highly regulated compliance-laden business processes in a trusted manner as errors have a near-zero level of tolerance. Applying our ICE Aurora platform and agents to workflow automation remains the most effective lever, moving manual steer and compare tasks to exception-based workflows where people focus only on what needs human judgment. This enables us to deliver efficiencies to maximize productivity for full-time employees, reduce cost per loan, and enable scale without proportional headcount increases. We are in the process of rolling out the following ICE Aurora AI-enabled agents for our IMT business in the first half of this year. First, we've extended our ICE business intelligence capabilities by accelerating cycle times and improving loan quality with our agents analyzing data, identifying errors, and highlighting bottlenecks and inefficiencies in our clients' workflows. Second is the launch of our virtual and text-based agents in servicing, capable of executing real actions such as payment scheduling, so borrowers can self-service within our servicing digital application as well as resolving issues, answering questions, and interfacing directly with borrowers to reduce the need for a call. This capability is already in beta with a handful of clients. Third, AI-powered customer service agents that shorten turnarounds, improve customer satisfaction, and lower costs by summarizing notes, predicting call context, and responding to questions to help representatives resolve inquiries and close tickets faster. Fourth, business intelligence and exception handling agents used by processors, underwriters, and servicers that can respond to ad hoc queries in natural language in real-time and facilitate exception handling with approved steps and guardrails. These capabilities also permit executives and line of business owners to derive actionable insights from their data in real-time rather than using ad hoc queries, thus reducing overhead associated with research and reporting. We continue to see strong customer adoption, with wins and implementations that reflect the value of standardizing data and automating workflows across origination and servicing. In Q4, we had our best quarter of the year with 32 new Encompass logos signed. Moving to servicing, our focus on driving client efficiency helped lead to two new MSP wins, including a cross-sell into an existing Encompass client. Last month, United Wholesale Mortgage went live on MSP, approximately nine months after signing. We are proud of the focus from our internal teams as well as the collaboration from UWM to deliver a rapid implementation. In summary, as ICE continues to enhance our leading technology, we do so with both the client and end consumer in mind. We're delivering solutions that automate legacy, manual workflows throughout each stage of the mortgage life cycle, resulting in raising workforce productivity, improving loan quality, and expanding team capacity, all of which lowers the cost to originate and service loans and can be passed on to the end consumer. Before I close, I'm pleased to share that my longtime colleague, Bob Hart, has been appointed president of ICE Mortgage Technology. Bob's twenty-plus years of mortgage and real estate experience will help us accelerate this strategy as we continue to modernize mortgage workflows and deliver value for our customers. With that, I'll hand it over to Jeff. Thank you, Ben.
Jeffrey Sprecher: Good morning, everyone, and thank you for joining us. Please turn to Slide 13. For over two decades, ICE has been built around the simple idea that markets function best when their infrastructure is trusted, neutral, and engineered to work in all environments. Our job has never been to predict outcomes or to direct capital. It's been to build and operate the systems that allow capital to move efficiently, allow risk to be transferred, and allow price discovery to occur regardless of market conditions. As a result, we've deliberately placed ICE at the intersection of markets that respond to different forces. Some react to acts of God, such as weather events or energy supply disruptions. Others react to acts of man, including central bank policy and regulatory frameworks. By operating across both, and by connecting them through technology and clearing infrastructure, we've built an all-weather model that performs through cycles rather than around them. In 2025, that model once again proved its resilience.
Jeffrey Sprecher: Market participants across asset classes continued to turn to ICE to manage risk, allocate capital, and access trusted data as they navigated geopolitical tensions, rate uncertainty, and evolving regulatory landscapes. While the macro environment remains dynamic, our performance reflects the value of our mission-critical networks that customers rely upon. Over time, we've consistently invested in areas where markets were operating with friction, opacity, or manual workflows. We did this in energy markets where global pricing lacked transparency, in fixed income markets by building institutional-grade data and analytics that brought structure to historically fragmented markets, and, again, in consumer credit markets by digitizing core workflows throughout the home mortgage ecosystem. Across each of these, the common thread has been the same: combining technology, data, and operating expertise to rewire critical financial infrastructures that customers can rely upon. We're taking the same approach into the next phase of market evolution.
Jeffrey Sprecher: Last month, we announced the development of a tokenized securities platform for NYSE, following our investment and distribution partnership with Polymarket. While tokenization has attracted significant attention across the industry, our approach is grounded in the same principles that have guided ICE since our inception. We are not pursuing tokenization as a novelty or as a substitution for how markets operate today. We are exploring tokenization as a potential evolution of existing market infrastructure, one that could further improve capital efficiencies, broaden access, and advance settlement processes, such as our recent announcements with BNY and Citi to accept tokenized collateral, all while preserving the safeguards, governance, and neutrality that institutional markets require and that ICE is known for. In fact, ICE plans to apply for regulatory approval for NYSE tokenization from the US Securities and Exchange Commission under existing federal law and existing SEC authorities. ICE plans to seek foreign distribution under our existing securities passporting relationships.
Jeffrey Sprecher: This NYSE tokenization initiative is not dependent on the passage of The US Clarity Act or any other foreign legislation. Our intent is to tokenize regulated securities that attach contractual rights and interests to their holders, just as they occur under existing securities laws, such as ownership rights, dividends, and voting privileges. Importantly, tokenization is not a stand-alone initiative. It sits alongside the infrastructure that we already operate across exchanges, clearing houses, data platforms, and our networks. Our experience running global markets, managing collateral, and supporting trillions of dollars in daily notional activity gives us a clear view on how new technologies may be integrated into the financial system. We believe this approach positions us well to support innovation while maintaining the stability that customers and regulators expect from ICE-operated venues. Just last week, ICE received approval from the US Securities and Exchange Commission to launch a new clearing service for US cash treasuries, almost a year in advance of the January 2027 treasury clearing mandate. This is another example of our ability to position ourselves to meet the needs of an evolving market. Importantly, this approval is accretive to our existing fixed income clearing services, where we have provided global leadership since the great financial crisis. We're excited about the fixed income market evolution and the choice that this initiative will provide to our clients.
Jeffrey Sprecher: Looking ahead, we continue to see secular forces reshaping global markets. The digitization of financial markets is ongoing. Regulatory frameworks continue to evolve. Capital moves globally, even as policy is set locally. Against this backdrop, the need for trusted infrastructure that can perform under stress becomes more important. ICE's role is to remain a trusted operator through this change, investing in technology where it removes friction, expanding our networks where it creates efficiency, and maintaining discipline in how we allocate capital. That consistency is what has allowed us to grow through every business cycle, and it's what underpins our confidence as we look forward.
Jeffrey Sprecher: I'd like to conclude today's prepared remarks by thanking our customers for their business and for their continued trust. And I want to thank my colleagues at ICE for their efforts that contributed to yet another record year at ICE. I'll now turn the call back to our moderator, Drew, to conduct the question and answer session.
Jeffrey Sprecher: Until 09:30 Eastern Time.
Operator: Thank you. We'll now start today's Q&A session. Please note that we are limiting to one question per person at this time. If you would like to register a question, please press star followed by one on your telephone keypad. And to withdraw your question, it's star followed by two.
Operator: Our first question today comes from Craig Siegenthaler from Bank of America. Please go ahead when you're ready.
Craig Siegenthaler: Hey. Good morning, everyone. Hope you're doing well. Our question is on the mortgage technology outlook. And it's actually a two-parter. But the first one is, can you update us on the health of the mortgage industry? And how the recent rebound in refi activity is influencing demand trends? And we're especially looking beyond 2026 because you already provided us some guidance for this year. And just as a follow-up on the tech side, can you update us on the opportunities to modernize your mortgage technology tech stack, whether it's through blockchain-enabled capabilities at MERS or even AI tools that could improve efficiency at Encompass or MSP? Thank you.
Benjamin Jackson: Thanks, Craig. It's Ben. So I'll hit both of these. In terms of the overall mortgage, you know, the backdrop on the health of the overall mortgage market, we feel good on how it's improving. And I'll pack it in a couple of different areas. So one, in terms of just the refinance market, if you look at where rates are today, we obviously had a nice pop in volumes in refis in the fourth quarter last year. If you look at where rates are today, there's approximately 4 million loans that are in the money to refi, which means that the rates that they were set at at the time, the rates today are 75 basis points lower than where the customer's rate is locked now. And if you get just another 25 basis point move from where we are now, that number goes up to 5.5 million. And if you get a 50 basis point move, it goes up to 7.5 to 8 million loans in the money. So that's a good sign. And then, obviously, the backdrop now is also encouraging a rate environment that would continue to come down. So that's a positive. On the purchase market, affordability from the metrics we've been looking at is better than it's been in approximately four years, so that's improving. And, obviously, the administration's been very vocal about stimulating housing starts to get that going. And even there's, you know, policies that are out there potentially being discussed around increasing capital gains exemptions, etcetera. So we see looking into 26, 27, and beyond that the overall health of the market is showing signs of improvement. In the second part of your question was around the technology opportunity. And, you know, I deliberately talked about in my prepared remarks that both Encompass and MSP, you know, one of the first things we did with both of those deals is made sure that we, in a very secured way, opened access to both of those platforms to be able to tap into newer technologies in AI, artificial intelligence, agentic AI, etcetera.
Benjamin Jackson: And we have been accelerating bringing to market different solutions in and around those tech stacks. I went through a bunch of the agents and AgenTek AI initiatives that we have coming into this year. Those are the result of initiatives that we had this year, and solutions that we brought to market both across Encompass as well as in servicing. In Encompass, we've been automating things like data capture, document automation, automating certain parts of the underwriting process. And as we brought those solutions to bear, we're bringing time efficiencies and lowering the cost for our clients. As we're bringing those to bear, the clients have a facial demand for us to deliver more, and we're doing that. The same is true on servicing, where within the servicing side of the business, we've been looking at the customer service area in particular and how can we help provide efficiencies there. We did that last year through the launch of call prediction capabilities, call summarization, automated call routing to help take costs out of the process there. And now this year, we are already in pilot with a number of different initiatives that I mentioned in my prepared remarks. We're looking at consumer chatbots that would auto-populate basically a loan application for either a HELOC or a refinance. So when we're helping customers identify based on the servicing data we have, this is the opportunity, auto-populate the loan and then streamline the process of completing that transaction. We have a new chatbot on Ask Encompass, which is an always-on loan status recommending the most efficient way for an underwriter to advance and close on a loan. We have advanced our compliance chatbot capabilities, looking through millions and millions of pages of regulations that as a loan's getting underwritten, to ensure that the underwriter has the right belts and suspenders on making sure that the loan is highly compliant as it's being originated. And then taking our servicing chatbots even further with our servicing digital application and automating payments, and then an intelligent virtual agent that we're also launching this year. So we feel really good about the technology opportunity and our ability to execute on it.
Operator: Our next question today comes from Benjamin Budish from Barclays. Your line is now open. Please go ahead.
Benjamin Budish: Hi. Good morning, thank you for taking the question. I wanted to ask about the FIDS business. One of the themes that reemerged quickly this week has been this AI disruptive fear across all things software. Just for you guys, I think the question that we get the most is, you know, on the data and analytics businesses, you know, where is their potential risk? So curious if you could address that concern, where do you see or how would you describe sort of the moats of that business? Where is there, you know, proprietary data versus, you know, software that could potentially be replicable? You know, how do you think about the defensibility there? Thank you very much.
Christopher Edmonds: Hey, Ben. Thanks for the questions. Chris Edmonds here. One, I'd like to go back to both Jeff and Ben's comments around being a trusted source over the years. And if I look at the pipeline of opportunity that we have in front of us, there are really three key components if I look at the data business. One, we generate a lot of proprietary mission-critical content on all of our activities that we have within the exchange and clearing space that goes into drive models around there. And we license that data effectively to the client base around there. Second, we have the data center opportunity where folks needing that data along the way want to be as close to that data and part of that virtuous feedback loop as they possibly can be at all times. And then third, we have things on the, you know, we'll call it the alpha generation side, like what Ben talked about with the Reddit deal that we announced. We're continuing to add correlated datasets to that.
Christopher Edmonds: That culmination of all of that is something you can't get anywhere else. And if you look at a prime example, that is what we have in our fixed income business around PRD. And then when we look at price and reference data and the valuations that come off that and how they drive our index growth that we're seeing there. Those things are looked at over one, three, ten, sometimes thirty-year history, and we have more than that in the history. And that piece of it is not a formulaic conversation. That piece is much more comprehensive at the end of the day, and that trusted source piece that referenced earlier to that Jeff and Ben touched on becomes most important. If I look at the pipeline on a go-forward basis, I believe that's driving most of the conversations that we have.
Christopher Edmonds: What more can you give us? How can you deliver it? It's not a one-dimensional play that's out there of just exhaust data. It's actually the context of how it's being used in their decision-making process. And that's what we're excited about coming this year, working closer with our clients on both the breadth and depth. If you look at our energy business and what Ben would do in the prepared remarks, you look at all of the thousands of contracts we created in energy, create an ecosystem you can't get anywhere else. That continues to build for us in the FIDS segment, and I look forward to seeing that become a bigger reality even as decisions become more real-time where other agents are coming online within our client base.
Operator: Our next question today is from Patrick Moley from Piper Sandler. Your line is now open. Please proceed.
Patrick Moley: Yes, good morning. Thanks for taking the question. Wanted to ask about the outlook for the futures business. Ben, you touched on it in your prepared remarks. But, you know, January, you finished at record open interest in both energy and financials, and it really took off in the fourth quarter and has continued into the year. So can you talk about some of the drivers of that a little bit more? How sustainable do you think it is? And then what impact, either positive or negative, do you expect some of the, you know, the recent patent volatility you've seen in the markets to have on customer activity levels and open interest? Thanks.
Benjamin Jackson: Thanks, Patrick. It's Ben. As we've alluded to on prior calls around our energy business, customers now more than ever are looking for a truly global provider of the most accurate deep liquid places that people can manage their risks. And today, you have, you know, geopolitical flashpoints. You've got supply chain evolution. You have the energy evolution. You've got trade and tariff issues, people concerns around energy security, and this confluence of issues that's going on around the world. And that's what's really led to, you know, our energy business being up. You know, year to date here, it's up 30%. Our Brent business, which is the cornerstone of our global oil complex, is up 25% year over year. Our crude business overall is up 15% year over year. And more importantly in those, we have open interest continuing to grow, which you alluded to in your question as well. Brent's up 35% to start off this year. It's an unbelievable start to the year. So you had this backdrop of a bunch of issues, and now you pile on top of it new dynamics that have taken place. You have escalating issues in Iran, which is obviously one big issue. A second issue that you have out there, which is a good resolution, is the, you know, you take the trade deal now with India. And in that trade deal with India, it looks like India is agreeing to no longer import Russian crude. Well, what's going to be the substitute to that Russian crude? It's more likely than not to be Middle Eastern grades as well as US grades of crude going into India. Well, that bodes very well because those grades of crude are priced via the Brent benchmark, number one. Number two, it bodes well for our HOU contract. It's the contract we launched three years ago to price Midland WTI barrels basis Houston that are hitting the water. So it's a great opportunity there. We've had a well-established Dubai contract which is doing extraordinarily well, up 20% to start this year. It should bode well for that contract. And then also three years ago, on our ICE Futures Abu Dhabi Exchange, we launched our Mervin contract, which is another contract that should benefit from that dynamic for some period of time. And then you take on top of that the US involvement in Venezuela and the Venezuelan markets. If that Venezuelan oil starts to flow into the US, starts to flow into Europe, that bodes well for further for Brent for the foreseeable future. And if in the US, the US Gulf Coast, starts to take on some of these Venezuelan barrels into processing, you're going to have Canadian barrels that are looking for a new home. And we could see that flowing into Asia as well as Europe. That bodes well for our Brent benchmark. And then also in my prepared remarks, I mentioned we're the only place that prices Canadian crude oil futures. So those are just some examples of where we see some sustainable growth opportunities. Obviously, our TTF contracts, which are the gas quickly, is off to an incredible start. Obviously, there's a demand for power LNG moving around the world, and our TTF contract started off the year up 100% off of a great year last year. So all signs are very positive.
Operator: Thank you. Our next question comes from Ashish Sabadra from RBC Capital. Your line is now open. Please go ahead.
Ashish Sabadra: Thanks for taking my question. I just wanted to ask a follow-up question on the mortgage. You laid out some of the puts and takes for mortgage recurring revenue growth in 2026. My question there was just around when do we expect that headwind from the lower minimums to come off? Is it mostly 26%? And when we get into 27%, should we think some of those headwinds to start to come off? So that'll be one. And then just on the transaction, wanted to confirm how should we think about when we do get a mortgage market going back to a normalized level, how should we think about the incremental transaction revenues?
Warren Gardiner: Sure, Ashish. So I'll take both of those. So on the recurring side, the minimums we've seen improvement in the minimums of the headwind for the minimums over the last several years. And so as we head into 2026, we still do expect there to be some from that, but better than what we saw last year, better than the year before that. And so at this point, we've actually worked through all of the 2020 vintage contracts. We do have 2021 this year, and that will largely be complete this year once we get through those. And those were the two boom years, if you remember. And so again, largely worked through all of that in terms of the headwind perspective on the recurring revenue growth. And that's, of course, baked into the guidance that we gave you today. So the ability to grow despite that is really going to be driven by the implementation that we see. You know, included in that is some of the revenue synergies that are becoming online that we spoke to you about. So we're heading in the right direction on that front and feel pretty good about it as we head into next year and beyond that as well. On the transaction side, I think the way to really think about that, a normal environment, we define as about 7 to 10 million loans at an industry level. 10 million has been the average over the last thirty years. 7 to 8 million has kind of been the median, if you will. And so if we get into those kinds of environments, we gave you guys some stats last year where we thought 24 revenues in that scenario, those two scenarios, would be a couple hundred to, call it, half a billion dollars of incremental revenue. We obviously made a little bit of progress towards that this year because the market improved a little bit, but I think you're still in a good range to be thinking about that because, of course, we've added new customers and we've got a solid pipeline of customers that are coming in over the next couple of years as well. So feel good about the trajectory on that front, you know, as we head in again next this year and into the next year as well.
Operator: Our next question today is from Dan Fannon from Jefferies. Your line is now open. Please proceed.
Dan Fannon: Thanks. So you guys are talking to Exchange recurring revenues in the mid-single digits after growing, you know, I think, low double digits or 11% in 2025. So wanted to just, you know, talk about the difference as you think about next year or, sorry, this year versus last year and the strength across the recurring side of the exchange business?
Warren Gardiner: Yeah. Dan, it's Warren again. So it's a good question. I think, look, as you get to the second half of next year, those are going to be some difficult compares, too, given we were double digits in both of those quarters as well. I think what you saw this year and what we expect to see next year is, or sorry, last year and expect to see this year as well, is continued growth from new customers coming on the platform. That's not only futures, but also on the equity side as well. Saw a little bit of benefit last year from the pool size on SIP data that helped us as well. That can be a little bit difficult to predict. So maybe a little bit conservative on that, but it's a bit of an unknown on that front. And then we don't see a ton of erosion as well. So, you know, you pull all that together. And then, of course, we, you know, we do, and we've done so this year, and we did so last year. We'll capture a little bit of price for the value that we brought to those products as well. So bring all those things together, and I think it sets up for another really strong year for the exchange data business and recurring revenue overall. To be clear, the guidance was for total recurring revenue, not just Exchange Data. I think Exchange Data could probably be a little bit better than, you know, the guidance we gave for overall recurring.
Operator: Our next question comes from the line of Kenneth Worthington from JPMorgan. Your line is now open. Please go ahead.
Kenneth Worthington: You experienced the highest number of Encompass new customer wins in a year. I think it's thirty-two. Can you talk about sort of what sort of customers you're winning? Are you in dialogue still with some of the largest potential new customers for Encompass? Or is that sales cycle extending? And then maybe lastly, how does the 32 new customers compare to attrition figures?
Benjamin Jackson: Hi, Ken. It's Ben. I'll take this. We had a great year this past year in Encompass sales. You look across the entire year, we had 90 deals done. So that's, to me, a great sign and testament to the quality of the technology that we're bringing out to the market, the innovation that we're bringing to the market, the leverage that we have with accelerating, modernizing workflows, all of the, you know, adoption of AI. And as we continue to release more things for our customers, our customers are pointing us in the direction of other things that we can do to drive efficiencies for them. So that's, you know, a great start to the year. And many of these clients are already customers of ours across our IMT segment, and many of those Encompass clients are also on MSP or subserviced through an MSP subservicer that are, you know, taking advantage of the opportunity for us to provide that complete front-to-back automated workflow for them. So that's a great sign. In terms of the strength of the or the types of deals that we did last year, they're across all segments. We've done deals across the largest players in the segment, as well as down to startups. So we've had success across the different segments of the marketplace. Give you an example, in the fourth quarter alone, we closed one of the largest home equity line of credit lenders in the United States, so that was a great sign and testament to our capabilities within that specific channel, expanding that footprint with this client. In the third quarter, we closed one of the largest correspondent lenders in the United States. Good testament. So we're, you know, we're having success in each channel, whether it's HELOC, correspondent, retail, and then also across the variety of customer types. So we feel really good about our positioning. And then looking forward to the funnel that we have, the largest players in the market aren't as engaged as ever with us on looking for ways to automate and provide them more efficiencies based on, for the most part, homegrown technology that they have in place.
Operator: Our next question today is from Simon Clinch from Redburn Atlantic. Your line is now open. Please proceed.
Simon Clinch: Hi. Thanks for taking my question. I just wanted to again, on the mortgage side, just what could you update us on the transition from SDKs? And because that's been a relatively lengthy process, and I think there's a lot of clients that are still sort of wedded to the old ways, I guess. And I was just wondering how much disruption or how much window of opportunity that opens up for competition in this space and how you're sort of managing that.
Benjamin Jackson: Thanks, Simon. It's Ben again. The transition to SDK, what that's about is just, you know, really providing more efficiency in supporting the connectivity that our clients have in either plug-ins and bespoke things that they build around our solution or the way that they connect to third-party vendors. And, you know, based on our clients looking at and adopting a lot of the other innovations that we've been providing them, you know, we've enabled Encompass and spent a lot of time innovating on Encompass to move it from a smart client technology to the web. We've successfully done that. We've enabled Encompass to be able to, in a secure way, be able to adopt ICE Aurora-based agents and AI technology. We're enabling that across the workflow and giving them savings. And, you know, providing time and resource towards the SDK thing has just been, for some of the clients, it's been something that has been a lower priority. So we gave them more time to do it because we know it wasn't slowing down our pace of innovation in other areas. And we have not seen it in any way, shape, or form as a hindrance to our sales success, nor have we seen it impacting any kind of attrition or changing the competitive landscape.
Operator: Our final question today comes from Alex Kramm from UBS. Your line is now open. Please go ahead.
Alex Kramm: Just since you mentioned, Warren, since you mentioned pricing on data earlier, can you maybe broaden that answer for pricing in general since you obviously just went through the budget process? Anything we should be aware of on all the businesses, also on the transaction side? And maybe related to that, in January, you actually saw a nice pickup in pricing on the energy RPC. So maybe is it just mix or anything to point to? And how sustainable is that?
Warren Gardiner: Yes. So thanks for the question. So yeah, we took a very similar approach to what we've done in the last several years in terms of how we approach pricing. And on the future side, in, you know, that includes data and things of that nature. We again took a very similar approach in that. We picked our spots. We, at some areas where we think we've created some value for customers. And so we did do some price increases on the futures contracts, particularly within financials. We also did some price increases within the data business, the exchange data business that will be helpful in that from similar to what we did last year. And so again, I think in aggregate, the total amount was pretty similar to what you've seen us do over the couple of years, but just in some different areas as we said we would do. And again, areas that we think we've brought value to people on that front. Then in some of the other businesses, it's really those tend to be a little bit more, you know, similar products at similar rates. And so we saw similar kind of price increases that we've done in prior years across the FIDS business. We do pick our spots a little bit in some areas of theirs as well. And then, of course, in mortgage too as well. So I would say really no change really versus the approach we've taken. And it's, you know, across the business, we really just look for areas that we think we've created value for our customers. And then go capture that value. In terms of the RPC for the month of January, that wasn't related to any kind of contract change. That was actually really just the mix and really did happen in January. And Ben talked about it a little bit, but a lot of what that is is TTF and the mix of TTF within the energy complex, obviously, being very, very strong in the quarter. And that, of course, has a higher RPC than a lot of the other contracts within that business. So really, it was a mix shift benefit that really was a little bit in December, but also in January as well more than anything.
Operator: Thank you. That concludes the Q&A portion of today's call. With that, I'll hand back over to Jeffrey Sprecher for some closing comments.
Jeffrey Sprecher: Well, thank you, Drew, for moderating the call and you all for joining us this morning. And we'll look forward to updating you again as we continue to innovate for our customers. We're building an all-weather business model, and we're working to generate growth on top of growth. With that, I hope you'll have a great day, and thanks for attending our call.
Operator: Thank you for joining and bridge today's call. You may disconnect your line.